Operator: Ladies and gentlemen, thank you for standing by. And welcome to the WestRock Company’s Second Quarter Fiscal 2020 Results Conference Call. At this time, all participants are in a listen-only mode. After the speakers’ presentation, there will be a question-and-answer session. [Operator Instructions] I would now like to hand the conference over to your speaker today, Mr. James Armstrong, VP of Investor Relations. Thank you. Please go ahead.
James Armstrong: Thank you, Operator. Good morning. And thank you for joining our fiscal second quarter 2020 earnings call. We issued our press release this morning and posted the accompanying slide presentation to the Investor Relations section of our website. They can be accessed at ir.westrock.com or via a link on the right side of the application you are using to view this webcast. With me on today’s call are WestRock’s Chief Executive Officer, Steve Voorhees; our Chief Financial Officer, Ward Dickson; our Chief Commercial Officer and President of Corrugated Packaging, Jeff Chalovich; as well as our Chief Innovation Officer and President of Consumer Packaging, Pat Lindner. Following our prepared comments, we will open up the call for a question-and-answer session. During the course of today’s call, we will be making forward-looking statements involving our plans, expectations, estimates, and beliefs related to future events. These statements may involve a number of risks and uncertainties that could cause actual results to differ materially from those we discuss during the call. We describe these risks and uncertainties in our filings with the SEC, including our 10-K for the fiscal year ended September 30, 2019. In addition, we will be making forward-looking statements of the impact of COVID-19 pandemic on our operational and financial performance. The extent of these effects including the duration, scope and severity of the pandemic is highly uncertain and cannot be predicted with confidence at this time. We will be -- we will also be referencing non-GAAP financial measures during the call. We have provided reconciliation of these non-GAAP measures to the most directly comparable GAAP measures in the appendix of the slide presentation. As mentioned previously, the slide presentation is available on our website. With that said, I will now turn it over to you, Steve.
Steve Voorhees: Okay. Thanks, James. Thanks to those of you who have dialed in to join our call this morning. We have a lot to cover. I will start by thanking the amazing WestRock team for all they are doing to help connect essential products to people around the world. The WestRock team supported by the scale and broad capabilities of our mill and converting network have responded heroically to help our customers meet the changing market conditions caused by the pandemic. We generated solid financial results in the quarter, with adjusted segment EBITDA of $708 million. This was on the high end of the guidance that we provided last quarter. We are executing our differentiated strategy from a position of financial strength and substantial liquidity. The COVID-19 pandemic has impacted global markets caused unprecedented volatility and clouded the economic outlook, against this backdrop and thanks to the performance of the WestRock team the company has continued to deliver as an essential part of the global supply chain supporting our customers with a portfolio of products and solutions and global reach that they need to get their products to the consumers who need them. The pandemic has disrupted demand patterns across our business, while some markets notably e-commerce have been very strong, others including industrial markets have seen significant negative impacts. We continue to believe that our long-term drivers of growth remain unchanged that WestRock remains well-positioned with the right strategy to succeed and create value for all of our stakeholders. Having said that, the global economic outlook has softened significantly in the near-term, we are therefore implementing an action plan through which we are taking prudent and appropriate steps to prepare for a range of economic and market conditions. We are focused on meeting the needs of our customers, supporting the health, safety and well-being of our teammates, and further building on our foundation of financial strength. Following are the key components of our pandemic action plan. We have standardized enhanced safety measures across our company, including social distancing, deep cleaning, face coverings, temperature checking and other practices to help keep our teammates safe and healthy. Our team’s done incredibly well through this time and during this quarter we will provide one-time recognition awards to our manufacturing and operations teammates. We will continue to match our supply with customer demand, including reducing shifts at plants where necessary and taking downtime at our paper machines that serve markets with reduced demand. At the same time, we will take advantage of opportunities where they present themselves, including using the scale and capabilities of our existing system to serve growing markets, including e-commerce and responding to surges in demand. We are implementing near-term operating cost reductions led by salary and retainer decreases of up to 25% for a senior executive team and our Board of Directors, as well as reductions of discretionary expenses. We plan to use our company’s stock to pay our annual incentives and make our company funded 401(k) contributions in 2020. This will provide additional cash available for debt reduction, while further aligning the incentives of the management team and teammates at all levels of the company with our investors. We are reducing our capital investments by $150 million this year and we will invest $600 million to $800 million in fiscal 2021. At this level, we will complete the strategic capital projects we have underway, maintain our system and make the capital investments necessary to improve productivity and supply our growing markets. And finally, we are resetting our quarterly dividend to $0.20 per share for an annual rate of $0.80 per share. This is a prudent step to take in an uncertain environment that will provide meaningful, sustainable and competitive dividends for WestRock stockholders, while allocating an additional $275 million per year to debt reduction. This will benefit our stockholders by reducing leverage, enhancing liquidity and sustaining our access to long-term debt to capital markets. As the situation COVID-19 -- as the situation with COVID-19 evolves, we will re-evaluate our dividend and look to grow our dividend in the future as markets return to normal. This combination of actions will enable us to adapt quickly to changes in market conditions and we expect we will provide an additional $1 billion in cash available for debt reduction through the end of fiscal 2021. This will sustain our business under a range of economic and market conditions and ensure that WestRock remains well-positioned for long-term success. WestRock’s response to the pandemic to date and our ability to succeed going forward hinges on the hard work and dedication of the WestRock team, which has stepped up to keep our operations running and to help our customers. We will continue to support our teammates, their families and the communities where we operate. While the near-term outlook is unclear, we have the right strategy and the right team in place to navigate this environment and to emerge an even stronger company. In addition to the standardized enhanced safety procedures we have implemented across our company, we are now working quite differently than we were just two months ago. Whether we are working in an operating facility or at home, we are meeting more frequently than ever to identify and address the rapidly changing operational issues as they arise. This is supporting our efforts to adapt quickly to meet the changing needs of our customers. And we have stepped up for our communities including partnering with our customers and also the Georgia Center for Medical Innovation to provide manufacturing support for more than 200,000 face shields. We are donating corrugated boxes and food service containers to food banks and also for charitable food distribution and many of our communities. Let’s turn to our performance for the second fiscal quarter. We generated net sales of $4.4 billion with adjusted segment EBITDA of $708 million. Adjusted earnings per share were $0.67. Over the past year, we have advanced our differentiated strategy with strong growth by adding 380 additional machine replacements. We have added 20 enterprise customers over the past 12 months. Enterprise customers now make up $7.5 billion in sales, compared to $6 billion a year ago, a 25% increase. Overall, we have substantial financial flexibility with more than $2.5 billion of long-term committed liquidity including more than $600 million of cash. We have limited debt maturities until March of 2022 and our U.S. qualified pension plan is 102% funded. During the quarter, we experienced strength in e-commerce channels and in the protein processed food, agriculture, healthcare and beverage market segments. Other market segments including luxury goods and industrial products softened as a result of the impact of COVID-19. Our second quarter results reflect higher export and domestic containerboard volumes and box shipments. The price mix variance reflects the flow-through previously published price decreases and the year-over-year market declines in export and domestic containerboard, pulp and kraft paper pricing. Corrugated Packaging delivered solid results in the quarter with adjusted segment EBITDA of $502 million and adjusted segment EBITDA margins of 18%. North American adjusted EBITDA margins were 19% and Brazil’s adjusted EBITDA margins were 28%. During the quarter, strong operational performance with higher volumes, strong productivity and deflation were more than offset by the pricing declines. Strong sales in e-commerce, processed foods and retail products like cleaning products, paper products and diapers were offset in the second half of March by significant reductions in our end user segments of distribution and paper, industrial products, and food service and pizza packaging. This trend has continued into April with more than 130 of our customers reporting temporary plant closures. That’s 130 of our customers reporting temporary plant closures and reduced shifts based on the effects of the Coronavirus. Even segments like protein and processed foods are suffering downtime due to the effects of the Coronavirus on their employees. Box shipments during the quarter increased 1.3% on an absolute basis with shipments increasing at the end of the quarter as consumers began sheltering at home. Our box shipments were negatively impacted by the closure of five box plants over the last year, as well as reduced demand from industrial, distribution and pizza market segments, and lower sales of low margin sheets to third-party converters. The cumulative impact of these factors reduced our box sales by 2.7% compared to last year. But let’s put those in perspective. Over the past three years we have been very successful growing our box business. In fact, our box shipment organic growth over this time is approximately 10%, nearly twice the industry growth of 5.5%. Our commercial approach to our customers continues to work well to meet rapidly changing customer needs. The strength of our preprint business has enabled us to open a new location in Las Vegas to meet our growing demand for graphics and to supply our expanded footprint with the addition of the KapStone system. We are expanding our Jacksonville preprint facility to add a continuous run press will provide incremental capacity and reduce cost. Our domestic and export containerboard sales increase to combine hundred 112,000 tons in the quarter compared to last year, 30,000 tons of increase came from our higher value white top liners. Our strategic projects and the integration of KapStone continue. We ended the quarter with an annual run rate of 4125 million in synergies from KapStone. Our team has made substantial progress reconfiguring the North Charleston mill following the permanent shutdown of the number two paper machine. The mill’s specialty grade mix has been redistributed across the remaining operations, which has optimized our manufacturing and provided cost efficiencies. We anticipate being at our plant production rates in savings by the end of the calendar year. In sum, WestRock’s Corrugated Packaging team is executing extremely well in this environment, supported by our well-invested box plant system and our mill system with outstanding geographic coverage and the capabilities to make the widest range of containerboard and kraft paper grades in the industry. Let’s turn to our consumer packaging segment, where the results were roughly flat year-over-year, with adjusted segment EBITDA of $222 million in a highly volatile environment. In the quarter, our food, food service, beverage and healthcare businesses performed well on higher price mix and benefits from plastic replacement initiatives. Our differentiated value proposition that leverages design, material science and machinery continues to deliver value for our customers. This upside was offset by reduced demand in beauty, cosmetics and high-end spirits. Lower commercial print demand in March contributed to our taking 13,000 tons of economic downtime in the quarter and another 14,000 tons in April across our SBF system. CRB and CNK backlogs remain solid at three and five weeks, respectively. Consumer Packaging participates across a wide range of end markets. We view the business through the lens of four key categories. First, the food, food service and beverage businesses comprise about 57% of our segment sales. We win with our customers with our differentiated integrated folding carton offerings and our full range of paperboard substrate sales to independent converters. These businesses deliver growth and value through innovation, differentiated products, machinery and customer service. Second, our Specialty Packaging businesses account for about 28% of our segment sales. Our value-added in Specialty Packaging is weighted towards the converting side of the business. The healthcare business has been very strong and is supported by our integrated offering of cartons, labels and inserts. While the performance of our other specialty offerings for consumer goods, payment cards and media have been mixed, some growing, some declining over time. The third category is Specialty SBS paperboard for tobacco, commercial print and liquid packaging. This accounts for about 13% of our segment sales. This category has been challenged in the recent years due to secular volume decline in commercial print and tobacco, which, to provide context, have declined more than 20% since fiscal 2016. Fourth, we use pulp to balance our system. Recent pulp price declines have lowered our earnings by approximately $28 million year-to-date and $12 million in the quarter as compared to last year. We are seeing good opportunities to grow using our material science, innovation machinery offerings and commercial products with our customers. We have invested in our converting assets and we have invested in our mills system at Mahrt, Covington and Demopolis to improve our cost structure and product quality. At Covington, we are now producing the lowest density SBS in the world for folding carton and other applications. So while many products of our consumer packaging business have been improving and are well-positioned to continue improving over the long-term, these improvements have been offset by the performance of our lower value-added and declining and market segments. We continue to be committed to improving the long-term performance of this business. WestRock is well-positioned to weather the current economic environment. We have the ability to serve a wide array of end market segments. We have flexibility across our supply chain including the ability to use both virgin and recycled fiber. Our global scale provides redundancy and versatility in this rapidly changing market. End market demand is quickly changing. Slide 11 provides an overview of current conditions in our markets. As noted earlier, demand in e-commerce channels is very strong we believe this will continue to grow. Processed and in retail food markets, beverage and liquid packaging were strong in March as customers now sheltered in place and work from home. Protein markets have shifted from a strongly positive to negative over the last few weeks as protein processing companies have felt the impact from COVID-19. Industrial and distribution customers demand has been negatively impacted by closures and other markets such as food service and commercial print continue their pattern of end market declines from the previous quarter. From where we stand today, it’s difficult to predict which trends are transient and which will persist. Fortunately, our diverse portfolio of paper and packaging products positions us well to adapt and meet our customers changing needs across a broad cross-section of the economy. While the outlook remains unclear, we have taken and are preparing to take actions to navigate market conditions as they develop. I will now hand it over to Ward talk about our financial position and quarterly results.
Ward Dickson: Thank you, Steve. In addition to our ability to generate cash from our business, active management of our debt maturities and maintaining significant levels of liquidity are core elements of WestRock’s strong financial foundation. In fiscal 2019, we extended the maturities of more than $3 billion of committed credit facilities and more than $2 billion in bank term loans. In addition, last year we refinanced $350 million in bonds that were due in March of 2020. We have limited bond maturities until March of 2022 with only $100 million that is due in June of this year. At the end of March, we had more than $2.5 billion of committed long-term liquidity including $640 million in cash. Traditionally, we generate stronger cash flows in the second half of our fiscal year. As we closed out April, we were able to reduce net debt by approximately $145 million. With this debt reduction in April, our committed -- our current committed liquidity in cash is approximately $2.7 billion. We have abundant cushion on our two debt covenants and this provides us with significant flexibility to run our business. In addition to actively managing our debt maturities and liquidity, our pension plans are in a strong position. As Steve mentioned, our U.S. qualified pension plan is overfunded and our global cash contributions to our qualified plans in fiscal 2020 is only $10 million. Moving to slide 13, we are withdrawing our full year guidance due to the challenging economic environment associated with COVID-19. Although, we are not providing guidance for Q3, recent trends are likely to cause sales and earnings to decline sequentially. Steve highlighted the changing demand trends across many of our end markets, which are negatively impacting volumes in specific segments of our business. In addition to an uncertain volume outlook, Q3 results will reflect the flow-through of the published index reduction for liner board in January and the February reductions for SBS and recycled box board for grades. And although some input costs are declining, recycled fiber costs are up more than $50 per ton since December. As conditions stabilize and we have greater visibility in the future demand trends, we will reinstitute our guidance. We are taking several decisive actions that we expect will provide an additional $1 billion of cash available for debt reduction through the end of fiscal 2021. The recently enacted CARES Act by Congress defers approximately $120 million of payroll taxes over the next three quarters which will be paid in December of 2021 and December of 2022. We plan to make our 2020 incentive payments and 401(k) contributions during 2020 with WestRock common stock that will increase cash flow by approximately $100 million. We are reducing our capital investments to approximately $950 million in fiscal 2020 and now estimate a range of $600 million to $800 million in fiscal 2021 down from our previous guidance of $1.1 billion in fiscal 2020 and $900 million to $1 billion in fiscal 2021. We will complete our strategic projects at the Florence and Três Barras mills over the next 12 months and while we have had to navigate the impact of shelter-in-place restrictions and the availability of contract and technical resources as a result of COVID-19, we expect to start up the new Florence paper machine in the second half of the calendar year 2020. The Três Barras mill upgrade project should be complete in Q2 of fiscal 2021. At these capital investment levels we are confident that we will continue to invest in the appropriate safety, environmental and maintenance projects, and complete our strategic mill projects, while also making investments to support productivity and growth in our business. These reductions will provide $300 million to $500 million of additional cash available for debt reduction through the end of fiscal 2021. The reset of our annual dividend from a $1.86 per share to $0.80 per share will generate a $400 million increase to cash flow over the next year-and-a-half. As we adjust our operations and investments to levels of customer demand, we will continue to generate strong free cash flow, protect our balance sheet and have the financial flexibility to execute our strategy. I will now turn it back over to Steve for closing remarks.
Steve Voorhees: Thanks, Ward. Against this backdrop of the pandemic thanks to the outstanding performance of the WestRock team who supported our customers with the unique portfolio of products and solutions from global reach that they need to get their products to the consumers that need them. We are executing on our differentiated strategy and doing it from a position of financial strength and substantial liquidity. We are facing unprecedented times and the outlook in the near-term remains unclear. We are adapting and executing our strategy in response. WestRock’s pandemic action plan will enable us to respond quickly to changes in market conditions as we match our supply to market demand. We expect that these and other actions will further strengthen our financial position by providing $1 billion in cash flow available for debt reduction through the end of fiscal 2021. All of us at WestRock are confident in our value proposition that we have the right differentiated strategy, the right team in place to navigate this environment and to emerge an even stronger company. That ends our prepared remarks. James, we are now ready for Q&A.
James Armstrong: Thank you, Steve. As a reminder to our audience, to give everybody a chance to ask a question, please limit your question to one with a follow-up, if needed. We will get to as many as time allows. Operator, can we take our first question.
Operator: Thank you. [Operator Instructions] Your first question is from George Staphos with Bank of America. Please go ahead. Your line is open.
George Staphos: Thank you. Hi, everyone. Good morning. Thanks for the details…
Steve Voorhees: Good morning.
George Staphos: …and for all that you are doing on COVID. I guess, the first question I had relates to how you will continue to manage the portfolio of businesses on a going forward basis. Steve and Ward, it sounded like, and you mentioned it, that there is significant variability in what you are seeing in terms of demand trends it’s hard to say what is secular, what is one-off. Would it be fair to say that once you determine that that there will be additional actions to optimize operations, the business portfolio and maybe we just heard what we wanted to hear, but it sounds like consumer maybe has a bit more work to be done once you evaluate this because of the issues in pre-print and tobacco? So if you could talk to that and I had a follow-on.
Steve Voorhees: Yeah. George, this is Steve. I -- thank you, you more or less answered the question, because I think we are going to monitor what’s going on in the market and we are expecting there to be shifts over time. I can’t predict what the shifts are going to be. I can’t predict we are going to look at our system and operate our system and our portfolio in a way to optimize it overall and a high degree looking that we have, I’d say, what you said about consumer, I think, we have more work to do on consumer, I agree with that for the reasons that you…
George Staphos: That’s right.
Steve Voorhees: Yeah.
George Staphos: All right. Thank you for that. And then as it gets to the dividend obviously, an important decision. Given the leverage being a little over 3 times given the covenant headroom that you said is significant and all the other work that you have done to improve liquidity, was there something in particular that gave you pause and therefore catalyze the dividend cut, because it looked like you had room to continue paying the dividend, what has given you the most concern right now in terms of maintaining it at the level it had been previously at. We obviously respect the decision and I appreciate the color. Thank you.
Steve Voorhees: Okay. George, thanks for asking the question, because this is not a liquidity issue at all, and I think, I identified the one thing that’s we are -- one thing that is affecting all of us, no matter where we are at the unpredictable, what’s going to happen with respect to market conditions. And we are just think it’s best for us to be try and get out ahead of that and make sure we are as well prepared to deal with the uncertainty that we are having in the economy and market conditions going forward. And these actions and I look at it not as the dividends just one of a series of things we do, look at the whole package of actions that we are taking to allow us to navigate the uncertainty that all of us are facing.
George Staphos: So part of it could be the capital that you might be required as you further optimize portfolio over time, would that be fair?
Steve Voorhees: I am sorry I didn’t understand that, George.
George Staphos: So you are also keeping some powder obviously given further moves that you might need to make within the portfolio to optimize operations that’s one of the reasons that it would be good to have additional cash, is that fair?
Steve Voorhees: Yeah. I just look overall, it’s a very unpredictable situation and I think all the actions that we are taking are very appropriate for us to get out ahead of really a period of uncertainty that we are all going through.
George Staphos: Thank you very much.
Operator: Your next question is from the line of Mark Weintraub with Seaport Global. Please go ahead. Your line is open.
Mark Weintraub: Thanks. Steve, I just want to follow-up on that the answer on the dividend question just because I think it’s sort of important for investors to really fully understand. I mean your point is that it’s -- there is no liquidity issues that you see right now, but presumably you are doing this as a adjusting case you are really not expecting it but it’s just a very conservative action to as you say get out in front of it. Is that really the way to understand it? So I think a lot of people are going to read it superficially, and say, wow, they must be concerned about their cash generation, they just cut their dividend and that surprised a lot of people.
Steve Voorhees: Hi. Yes. I appreciate you are asking that this is not a liquidity issue. I think it’s exactly trying to get out in front of an unpredictable set of events. And I do think about it very seriously from a stockholder standpoint and we generate cash that will go to pay down debt and I think that will accrue to the benefit of the stockholders. So, if I am a stockholder I think I appreciate this, because it kind of allows us cash to pay down debt which is going to be available to which is going to accrue to the benefit of the shareholders and it’s going to enhance liquidity and provide us long-term access to the debt capital markets, all of which I think are very important And the dividend at $0.80 is still meaningful and it’s substantial ad it’s competitive to many other investment alternatives.
Mark Weintraub: Okay. Thank you. And then just quickly on the recognizing it’s a very fluid situation are there any specifics you can share with us in terms of how demand is looking currently versus where it had been, what your best expectation for May, perhaps, what things look like?
Steve Voorhees: Yeah. Yeah. Mark, I am going to let on Jeff respond to that for Corrugated and then Pat after that respond to that for Consumer. So, Jeff.
Jeff Chalovich: Thanks, Steve. Good morning, Mark.
Mark Weintraub: Okay.
Jeff Chalovich: So it’s too early to tell one day I would say that our backlogs in the first week are stable. And I will provide as much clarity as I can on the April volumes, understanding that you are looking for detail in this specific end markets, I just don’t have that granular view as of yet. And then, as you mentioned based on the amounts of our customers closing plants temporarily the volatility and the demand profile, it may not be indicative of what the quarter will or won’t be. So we finished April down about 4%. We started off the month strong with backlogs and then every week progressively it got worse. So we have, as Steve mentioned, over 130 customers that either closed or redo shifts, across the business. Four of our top 10 customers had multiple plants down into late March, into early April. So we saw that in strong segments in our processed food and our protein business, that’s U.S. and Canada. And then businesses that we -- that serve foodservice, packaging. Our foodservice businesses also went down. And then we saw this in end user segments that we, like, our industrial products and our distribution and paper business which is a large part. The business that we exited in the box plants that we closed will remain a headwind and then we exited some low-value sheet business in that distribution and paper area. So that would be a bit of the drag for the next fiscal year as we exit. But again if you look at the comps, we were up 1.7% in April last year. The market was down about 1.4%. We were up 2.7% in the quarter last year and the market was flat. So the comps are tough. But having said that, our business operated very well. We matched our supply with our customer’s demand, the plants ran well, they had a very challenging conditions with businesses that were up, businesses were down, renewed business around the plants literally flawlessly and Steve mentioned our workforce reacted heroically. And so we are on the long-term confident we can continue to integrate this business and our differentiated strategy, our machine sales, pre-print graphics sales continue to remain strong and we are confident in the long-term ability of us to grow this business.
Steve Voorhees: Yeah, Pat?
Pat Lindner: Great. Thanks, Steve, and thanks, Jeff. And so, yeah, I really can’t -- like, Jeff, I really can’t comment too much on May. I will try to get some details for April, in particular how it matches with the commentary Steve described around the quarter. Essentially the -- what we saw at the end of the quarter through the month of March really continued into April. We saw solid demand and stability in food, most of the soup foodservice grades and applications, beverage and healthcare. Our backlogs in April on CNK remained strong at five weeks and CRB is at about three weeks. And so we feel good about and optimistic about foodservice, beverage and healthcare. We did run into some pretty significant challenges on commercial print in particular and so maybe I will take a moment and just describe that. We were off somewhere in the neighborhood in April about 50% that’s about half of the daily sales rate in April as we would typically have about half of what we had in February. A lot of that is just really driven by reductions in direct mailing and advertising and in some of the gain run sheet tag projects that normally would be strong this time of year, were really just canceled and so that continued in April, of course, as we have discussed it’s hard to tell what that’s going to be going forward. And also we had some softness in March in particular and that continued into April on our high end spirits, probably impacted somewhat by the duty free. And also in cosmetics and beauty care and these are more probably discretionary high-value products and some of those products were viewed as nonessential and our customers were not running their facilities. So April, I would say, really continued the trend that we saw in March because that Steve had described.
Mark Weintraub: And if I could so if you put that all together in April order of magnitude what might have looked like, Pat?
Pat Lindner: In terms of consumer specifically, so overall, I would say it really has to break down by each individual grading but, I would say, April was down year-over-year. I can’t give an exact number right now because it’s too early with the details, but down modestly year-over-year as well as -- versus March. And you would see, Steve mentioned in his comments especially around SBS, mainly because impacted by commercial plant that we took about 14,000 tons of downtime -- economic downtime in the month of April, reflecting that softness that we had in commercial plant.
Mark Weintraub: Thank you.
Ward Dickson: So, and Mark, just a word I would just add, I’d point back to my prepared comments when we said that revenues and earnings would be down sequentially, and normally we are heading into a seasonal period in the second half of the year where revenues would actually increase. So I think the comments that both Jeff and Pat gave you on the month are consistent with our view of the sequential decline for the quarter.
Mark Weintraub: Understood. Appreciate it. Thank you.
Operator: Your next question is from Mark Wilde with Bank of Montreal. Please go ahead. Your line is open.
Mark Wilde: Good morning.
Steve Voorhees: Hi, Mark.
Mark Wilde: So my first question, I wondered if you can just talk a little bit about the order of magnitude of kind of your fiber increases, your recycled fiber increases since the bottom, which I think was probably in the first fiscal quarter and then your ability to offset those increases?
Steve Voorhees: Go ahead, Jeff.
Jeff Chalovich: Hi, Mark. Yeah. So we have had a significant.
Mark Wilde: Hi.
Jeff Chalovich: Good morning. Increases in our fiber, we are up probably $50 or so a ton so far. And with the demands remaining constant for recycled fiber, but the generation has been challenged. So starting in the March, we saw a downturn in generation, mostly caused from a lot of the businesses, retails. So the grocery stores remain strong but the rest will retail commercial business has really softened up and then you had a shift to online buying and so a lot of the OCC and the recycling centers has a much less recovery rate than you have that at the retail stores and grocery stores. So that’s caused pressure to the upside. What we are doing to offset in the business is we have run the most virgin fiber or recycled fiber depending on the cost at the mills up to their capability to do that based on balancing energy based on their capacity pulping. So we manage that as closely as possible to help offset the costs. We reduced -- we look at all of our linked Six Sigma projects, we try to offset inflation by productivity every year and depending how far the OCC goes, we will continue to try to offset all the costs we can. And I think at a certain point if you look back three years ago, there was a $300 million headwind that was a bit tough to outrun, but right now we are holding our own with offsetting some costs and mixing our, the fiber mix optimizing the fiber mix based on the cost into the system. And then as we get through the year, we will see if this upside pressure persists. I think it persists in the May and then we will look at what happens but as we said earlier it’s just too hard to predict anything right now in the market based on the COVID situation.
Mark Wilde: Okay. That’s helpful, Jeff. The follow-on I had was just around Gondi and I am curious about both the startup of a new machine and what effect that may have on your exports into Mexico, but I am also curious whether there’s anything in the partnership agreement, which would have you having to increase your ownership in Gondi, say, between now and the end of fiscal 2021?
Steve Voorhees: Mark, I will take the second question. Yeah. Jeff, Mark, I will take the second question and Jeff you answer the first question. There is nothing in the partnership agreement that would cause us to need to increase our ownership. So we are…
Mark Wilde: We don’t have the ability to put more that stake to you over the next 18 months.
Steve Voorhees: I am looking at, they may have, but let me -- let Jeff answer the question and I will get back to you.
Mark Wilde: Okay. Sounds good.
Jeff Chalovich: Mexico is facing the same type of market dynamics that we are on Mark. So the OCC generation will upward pressure. They are seeing the same effect so some delay in the mill project based on the COVID-19 situation, so that’s being stretched a bit. And then, I would say, their end use markets are very having the same effect as ours are right now in the U.S. So very similar conditions in Mexico to what we are seeing here in the U.S.
Mark Wilde: Okay.
Steve Voorhees: Mark, we will get -- we will put something on our 10-Q that will specify the answer to the question on Gondi.
Mark Wilde: Okay. That’s fair. Thanks Steve.
Steve Voorhees: Okay.
Mark Wilde: Good luck for the balance of the year.
Operator: Your next question is from Anthony Pettinari with Citi. Please go ahead. Your line is open.
Anthony Pettinari: Hi. Good morning. Just following up on the earlier question to Jeff, is it possible to quantify how long the volume headwind from the closed box plants will lasts and is it possible to size it? And then Jeff I think you indicated April volumes were down 4% with large customers seeing some plant shutdowns. Is it possible at all to kind of quantify the impact of the shutdowns whether it was a small portion of the decline or half or most of the decline just trying to understand what kind of normal organic growth would be?
Jeff Chalovich: Sure. So the first part, Anthony, the box plant closures started in May of last year and they have run up through January so far. So there is -- it’s between 0.6% to 0.1% total for the closures. So as we go through the years one of those will go drop off as we move through the year. And then, in April, I think, the closures were significant. I don’t have the site level detail yet of each end market, but the end markets that were challenged in March remain challenged in April so distribution of sheets, paper, industrial, retailers, food service and then we have an effect of even agriculture that was up the parts that go to food service, which is probably not half of our ag business but it’s still a substantial piece were down significantly. If you look at our top 10 customers that you have some major protein customers, you have some major consumer products goods companies processed foods. There are -- that’s a significant piece of some of the headwinds that we face. So we had as I said some of those businesses had over five plants both in the branded consumer, the private label and then the protein and that’s Canada and U.S. for us. So those were significant pieces of the downturn. And then if you look here’s a chart in our deck on the large segments, when you look at distribution in paper and I can give you exactly in the March quarter it was down 6.6% per day and so remained coming into this business. And we thing about victory for us, part of the business is auto --auto parts that’s down completely and then the moving business, moving the storage is down significantly also and that’s one of the largest customers Department of Defense, they suspended all moves for the services through June 1st. So that’s another part of the headwind. So in those large areas those large segments, we are down and even our pizza segment that has been robust and grown is off coming into April and I don’t have that specifically yet for April, but the flavor of the segments is basically the same coming into April.
Anthony Pettinari: Okay. That’s extremely helpful detail. And then just a question I guess for both Corrugated and Consumer. We have seen some states start to lift shelter in place orders and understanding it’s really early days I am just wondering as you talk to your customers whether it’s food service or retail or other parts of the business, is this something that you are kind of seeing as a meaningful catalyst for orders picking up or just kind of any color you can give there?
Jeff Chalovich: Sure. I will start and then turn it to Pat as a continuation. It’s too early to tell, and as I said, the segments that are even strong are having downtime and headwinds because of the effect of COVID on their employee base. So, hopefully, as we start back up we start to see some trends or demands picking up, but it’s too early to tell in this first week of May. Pat?
Pat Lindner: Yeah. And thanks, Jeff, and just adding on the consumer side, I would agree with that. I think the probably the most dynamic space is right now that we see are really around foodservice and custom plate stock or SPS where we are an open market as the export and supplier there. So, but it’s too early to tell really what might happen there, but it has been a lot of changes. And then the other is still in Commercial Print which I mentioned before has seen some pretty significant declines. And so we are watching that carefully, but with all the uncertainty that’s out there right now it’s just too early to really tell whether the states opening up or some of the activity around social distancing is going to have a meaningful impact in the near-term.
Anthony Pettinari: Okay. That’s helpful. I will turn it over.
Operator: Your next question is from Brian Maguire with Goldman Sachs. Please go ahead your line is open.
Brian Maguire: Hi. Good morning, everyone. Hope you are all doing well. Steve just a question more maybe philosophically or a longer term just on how your view on acquisitions, some of the deals that were done this most recent cycle, they don’t seem like they are performing too well in the downturn MPS or some of the high end spirits and tobacco and KapStone, you mentioned some of the challenges in Victory, obviously the leverage got to be a little bit too high and we have now had to cut the dividend. So just longer term obviously that’s been a value creation lever for WestRock was acquisitions. But do you think that going forward that maybe will be a little bit more circumspect and maybe the leverage won’t be as high as it’s been in the past and maybe acquisitions will take more of a backseat to reducing leverage for the foreseeable future?
Steve Voorhees: Thanks for asking the question Brian. I think with respect to capital allocation from where we are I think debt reduction is prioritized over acquisitions, but I expect over the long term we will be able to make acquisitions to add value to our company.
Brian Maguire: Okay. And then just sort of related to that you are taking a lot of steps to generate cash and improve liquidity, just within the portfolio are there any assets you might look to sell or divest to try and accelerate that process and are there any other sources of cash you might be able to pull like say from working capital. I think initially that was going to be a pretty big headwind for the year, but things have changed so just wondering if there’s any other avenues to generate some cash in the near-term?
Steve Voorhees: Yeah. Well, we look at our businesses, our jobs to generate cash, but we will look at all alternatives, we don’t have anything specifically in our portfolios that stands out. I think I am looking at Ward Dickson and John’s take on they look at working capital each and every day. So we are looking at the various levers too that we can to generate cash.
Brian Maguire: All right. I will turn it over. Thanks.
Steve Voorhees: Yeah.
Operator: Your next question is from John Rider with Stephens, Inc. Please go ahead. Your line is open.
John Rider: Hey. Good morning. This is John on for Mark. Just first off, could you just talk through the bleached board business and how -- talk about how far we are from earning cost of capital? And then, what the overall bleached board operating rate was during Q1?
Pat Lindner: Yeah. So this is Pat. So around bleached board and SBS specifically. So as Steve commented, tobacco and commercial print have been in secular decline and we are seeing some near-term challenges as it relates to commercial print, also a little bit on foodservice. So we did take some unusual economic downtime in March and April indicating that our operating rates were not as high as they have been and prior to that. Now coming into that period, I would say, that we were pretty strong and it was as you would expect with SBS, with operating rates and often backlogs around four weeks as typical. But clearly what we have seen in some of the segments that we participate in that use SBS or bleached board in general, we have seen those adjustments in those downturns over the last couple of months that has certainly impacted the operating rates.
John Rider: Okay. That’s helpful. And then turning just to MPS more specifically, you have called out European weakness, but what parts of MPS business are weaker. Is there anything in addition to high end spirits?
Steve Voorhees: Just -- this is Steve. I think their footprint in Europe is weighted toward Britain, so they have had some -- and so I think Brexit has been a challenge for them and so we are moving that production as Far East as we can in Europe. So we have moved business to Poland. I think the segments are really not that much different than we see overall. The healthcare business has done very well and the consumer branded business has been more challenge, because of what Pat said about the duty free stores and just again I call the COVID-related business.
John Rider: Okay. Thank you.
Operator: Your next question is from Gabe Hajde with Wells Fargo Securities. Please go ahead.
Gabe Hajde: Good morning, gentlemen. Hope you and your families are doing okay.
Steve Voorhees: Yes. Thank you.
Ward Dickson: Thank you.
Gabe Hajde: I am curious if you could comment at all about trends specifically in the Corrugated business in Brazil, appreciate it’s going into a seasonally slower period, but what we had read thus far even through April had seen many case and pretty strong demand down there.
Jeff Chalovich: Hi, Gabe. It’s Jeff. I will take that. So, Brazil, I think, what you read is consistent, they have positive Containerboard sales up year-over-year, almost 11%, higher exports in the south America region into Africa also, volumes were up 7% for our Brazil business, they outperformed the market, but that grew at a 6% plus. Now the Porto Feliz ramp up continues to go extremely well. They continue to grow the business. They are setting records on their corrugated and evolves, and that ramp up continues to go extremely well. We are seeing some headwinds from the COVID virus but it’s not to the extent to date as we have seen here. Also the Três Barras project is on track and scheduled to start up as Ward said earlier the first half of calendar 2021. We took a short delay -- a 10-day delay based on some government actions, had to mobilize but its back up and running and on track. So that business overall continues to perform very well and our markets are continuing to stay strong right now.
Gabe Hajde: Thank you for that. And then the next question I guess on pulp, you mentioned, it being a $20 million headwind, I guess, for the first half year there’s been a series of price announcements that we have seen. Just curious from a timing standpoint how we could see that phase in that’s more of a fiscal 2021 benefit or is it maybe more immediate because you are selling in the spot market?
Steve Voorhees: Yeah. So maybe I will take that because it’s in the consumer piece and so the majority of the pulp we make is in our SBS system as we balance it -- our balance system with some open times. Our pulp volumes have increased recently as you can see in some of the appendix material that we published and there’s no price decline published prices have declined in pulp. So that’s had a sign of an impact on us across the segment. As far as what could happen in 2021 or beyond, it’s very difficult for us to project with all the uncertainties and everything, we would not be able to do that. But we have certainly March in April and going back really for this year-to-date fiscal year effect it’s certainly had a pretty significant impact that’s really driven by the pricing dynamics in that market as previously published.
Jeff Chalovich: Gabe for us it’s a small part of the business as you know. But sequentially, we have seen some upward movement on our pricing it’s down still year-over-year, but last quarter to this quarter we have seen increases in the pulp.
Gabe Hajde: Thank you.
Operator: Your next question is from the line of Steve Chercover from D.A. Davidson. Please go ahead.
Steve Chercover: Thanks. Good morning, everyone. So just quickly back on capital allocation. We understand what you have done with the dividend and why. Can you remind us if you have a specific payout ratio? And on a related question, you didn’t mention anything specifically on the repo. We know you are going to use the stock to fund incentives, but can you remind us how much availability you might have on the repo?
Steve Voorhees: Yeah. I mean we haven’t -- we have -- how much?
Ward Dickson: We have about 20 million…
Steve Voorhees: We have about 20 million shares and we haven’t repurchased shares in quite a while because we have been very clear that our capital allocation priority has been debt reduction.
Steve Chercover: Is there a specific ratio on the dividend?
Ward Dickson: Yeah. Yeah. Here is -- the dividend, I will tell you, we kind of spend a lot of time thinking about what the right level was and it’s hard to specify a specific payout ratio. I look at that as its sounds as its $200 million. We can generate $200 million and should be returning $200 million to our shareholders and just under any scenario that we can imagine. And as we said in the prepared comments, we are going to look at increasing that as things get more visible and so I think…
Steve Chercover: Okay.
Ward Dickson: …it’s really hard to talk about a specific payout ratio in this environment.
Steve Chercover: Got it. And then my second question, one of the secret sauces for West Rock and at least in my opinion is the machinery installations that you have in your clients’ facilities. So is it getting tougher to serve those machines or once they are installed is it up to the clients to maintain the machines?
Jeff Chalovich: Hi. This is Jeff. So the COVID experience has made it a bit tougher to do that, but now we are sending out checks with PPE kits, face coverings, gloves. We talk to our customers on their requirements in the plant and then our requirements. So we do have normal service contracts that we are fulfilling and then also any emergencies where the customers will need us. So, that part of the business we continue to move people through and safely. We have had great success doing that. And our sales and that in our machine businesses continue to grow. As Steve recorded early, we are up over 300 in the last 12 months. So excitingly that continues to grow and we continue to grow the business in that market and serve those markets.
Steve Chercover: Terrific. Thank you.
Operator: And our final question comes from Adam Josephson with KeyBanc. Please go ahead.
Adam Josephson: Thanks. Good morning, everyone. Thanks for taking my questions. Jeff, just going back to your April commentary for a moment, I just wanted to ask a couple of things. So, I think, you said shipments were down 4 and the backlog had declined over the course of the months for precisely that reason. Can you just give us some sense of what your containerboard mill backlog is now compared to what it was at the beginning of April, just to pick a date? And then on the e-commerce piece, given that e-commerce is really strong within foodservices offering. Do you have any sense of what the net impact of the e-commerce growth is to the extent that is basically replacing the loss in foodservice business?
Jeff Chalovich: Yeah. So I will start with the last part, the e-comm business is up strong double-digits and that’s remaining and you have the large growth in online and also buy online and pick up at store, which was the fastest growing segment in the e-comm space from March into April. As far as the foodservice and I will say it’s hard to say as a percentage because there are so many different businesses that supply in the foodservice, dairy, bakery, what else agriculture. So it’s hard to say what an offset would be…
Steve Voorhees: Yeah.
Jeff Chalovich: …an exact amount.
Adam Josephson: Yeah.
Jeff Chalovich: As far as the backlogs we look at the backlogs in the box system. And so we are -- so five-day to 10-day backlog, and as I said, coming into May, there was a stabilization from April and a bit of a pick-up from what we saw in the second week and third week in April, but it’s too early to tell if that’s a trend or not right now, because of the volatility in our markets.
Adam Josephson: Yeah. I appreciate it. Just one other one on e-commerce, which is the last three years it’s been a strong grower, a double-digit growth, during which time box demand went from growing by 3% back in ‘17 to basically flat lining last year. So I am just wondering what impact do you think e-commerce growth is having on the overall market when it seems as if e-commerce remains super strong but box demand has flat lined over the past few years?
Jeff Chalovich: I think, it’s just a -- it’s based on the percentage that e-commerce is right now of the overall box market, Adam. So if you look at the total of its 10% to 12%. I think that’s probably just a function of the total in e-comm and then you have substitutions, you have smaller packaging and upside, there is a lot of other things that go into that. But I think still if you look back at durable growth non-durable growth those things some of the non-durables been challenging in this environment it’s even more challenged because industrial. But our ability to grow across segments over the last three years has been very good and for our business I am positive that we can continue to grow in the markets given the short stint of corrugated hopefully over the long-term we will continue to grow and win in our marketplace.
Adam Josephson: Thanks so much. Yeah. Best of luck.
Jeff Chalovich: Thank you.
Operator: I would now like to turn the call back over to the presenters.
James Armstrong: Thank you, Operator, and thank you to our audience for joining today’s call. As always, reach out to us if you have any questions. We are always happy to help. Thanks and have a great day.
Operator: This concludes today’s conference call. You may now disconnect.